Unidentified Company Representative: Good morning, ladies and gentlemen, good afternoon. I would like to give you a warm welcome on behalf of 1&1, our CEO, Mr. Dommermuth; and our CFO, Mr. Huhn. The Board will continue to present the company development of 2023 to you within the scope of this investors' conference. They will tell you a bit more about the forecast for 2024 and some updates on the network expansion. Afterwards, as always, the Board is available to answer your questions. Thank you. And now I'd like to hand over to Mr. Dommermuth.
Ralph Dommermuth: Thank you, Mr. Keil. Hello, ladies and gentlemen. Welcome to today's conference. I'll begin with the company development and then I'd go into a little more details on our biggest and most important investment into the 1&1 network. Mr. Huhn will then follow with the financial key figures. You know our company we are dealing with broadband connections and with mobile Internet connections. We currently have 4.01 million broadband connections based on VDSL and FTTH. We produce it mostly with our sister company, 1&1 Versatel, using City Carriers or the Deutsche Telekom for the connection. Besides that, we have 12.25 million mobile contracts, so customers. We have launched the first Open RAN in Europe, which is fully virtualized. We have a broad market coverage with a number of different brands. We have our primary brand, 1&1, and then of course our co-brands, GMX and WEB.DE with the co-brands, and then discount brands that we've taken over through acquisitions. Last year, customer contracts have increased by 3% to 16.26 million. This was mostly driven by the mobile Internet growth with 570,000 new contracts. For broadband lines, we've had decreases in our customer base in the first three quarters of 2023. It has stabilized in the last quarter of 2023. We have now 4.01 broadband lines, which is 90,000 less than in the previous year. Why has it stabilized? We have made progress in our migration from ADSL to VDSL contracts. ADSL is the old technology, has a higher termination pressure than VDSL and glass fiber connections, we have made good progress on this last year. The fourth quarter with 150,000 mobile contracts and the stable broadband ownership was a good finish to the year. The revenue has increased by 3.4% last year. Service revenue increased by 2.1% to €3.243 billion. The business with hardware, specifically with smartphones, has increased by 8.3%. But you all know that it's a quite low margin business. Good fourth quarter here as well, 4.5% service revenue increase. And this means we're on track for the new year and for the growth that we have set for ourselves for 2024. EBITDA in the Access segment, so in our old business model, so to say, has increased by 5.4%, raised to 786 million. In the 1&1 mobile network segment, where we're operating our own network, we had startup costs of €132 million, €80 million more than in the previous year. We're building it internally, that service is rendered in the 1&1 mobile network segment, is our build to the Access segment. And these are services that we usually would purchase in the Access segment. This allows us to see when we cover our costs with our network connections. And when it is more profitable than purchasing external services from external network providers. In sum, we're in line with our planning. For CapEx, we're looking at €295.6 million for last year. The major share was for the expansion of the network. And all of that is in line with our expectations. You can see the main KPIs here, 3% more customer contracts, 3.4% more revenue, of which 2.1% in the service revenue area. EBITDA decreased by 5.7%. On the one hand, we've seen growth in the Access segment with 4.5%. And on the other hand, we've had higher expenses in the network segment with 132.4%. Of course, that has an impact on EBIT as well. We've had EBITDA that was lowered by €40 million. And of course, that will have an impact on EBIT. And EBIT also includes depreciations that will be explained by Mr. Huhn later on. Dividend proposal to the annual general meeting has remained the same, €0.05 per voting share, which is the minimum dividend that we have to pay according to Section 254 Shareholder Act. That is shareholder act. Overview on our big investment, the Open RAN network on December 8, 2023, we have given access to mobile services. So it's fully operational right now. Our network is fully operational. You know the architecture of our network. We're planning to operate four core data centers, 24 decentralized data centers that are positioned around the core data centers and over 500 regional edge data centers. These regional data centers will be connected to antennas. And one antenna is never further away than 10 kilometers from a regional data center. We're planning more than 12,000 antennas in order to cover as many households as possible. That's our target to achieve by 2030. To give you an idea of where we're at right now, of the four core data centers, we're currently operating two. The other two will be operational in a couple of days. The 24 decentralized data centers are all operational. If you look at the regional data centers, we are currently operating more than 100. I will get to the antenna locations in a minute. What does our network look like? What does the Open RAN technology look like? It's mainly three factors. First of all, it's an open system. We have roughly 80 partner companies that support us with or have supported us when it came to the expansion of the network. We have standardized interfaces that allows us to combine software and hardware, and that makes us independent of the dominant manufacturers that usually provide complete networks or large parts of a network. The second factor is that we're ready for real-time applications. The far-edge data centers and the regional data centers, we cannot only control the antennas. We also have space for application computers. If we need to operate applications from these data centers, we have a speed of three milliseconds, and only 2.5 milliseconds are actually required for a glass fiber connection. So we have a good speed to get the connection where it needs to be. The last aspect is the low electricity consumption. We save roughly 10% to 30% of our electricity. How do we know that? We've measured our electricity consumption in January, and then we compared this to traditional networks. There was a study that was conducted on this, and our result was confirmed by this study. Looking at antenna locations, we're making good progress. On the left-hand side, you can see the antenna locations that are available to us. By the end of 2023, it was 1,062. At the end of this quarter, it will be roughly 1,350. These locations are passive infrastructure. It's co-location on an existing location or a completely new location. And then we need to install antennas in these locations, and we need to connect those to the fiber optic. 243 locations were equipped with base stations by the end of last year. By the end of this quarter, we will have equipped 600 locations with antennas. Of these 600 locations, 200 locations will already have been connected to glass fiber. So you can see our funnel very well. First of all, we need the location. It can be a rooftop location or a mast location. That's the bottleneck, so to say. And once we have the location, we need to equip it with the right technology, and then it needs to be connected to glass fiber. In terms of construction speed, that's a disadvantage of our architecture because we connect all locations to glass fiber. We would be a little bit faster if we did it a bit differently. We could run our location straight away, but now we are connecting it to glass fiber first. This requires some construction works to be done, some construction permits, and of course that extends the duration of the construction time. Also, it depends on a couple of factors on the complexity of the construction and also on how long it takes for us to gain the permit. But once we have taken over the location, so that's the graph on the left-hand side again. Once we've taken over the location, the implementation is up to us. We can ask subcontractors to install antennas, and we can use different subcontractors when it comes to connecting it to the glass fiber network. So we're quite optimistic. We want to have more than 3,000 locations by the end of the year, and we also want to have the - fulfill the requirements of the Federal Network Agency. We were given some requirements to fulfill by the end of 2022, which we did not manage, but we are optimistic to fulfill these requirements by the end of this year. That would be it on the course of the business last year, on the status of the network expansion. And now I will hand over to my colleague, Markus Huhn, who will tell you more about the financial key figures.
Markus Huhn: Hello also from my side. I would now like to continue by presenting the financial key figures of last year to you. I would like to start with the earnings and profit and loss statement. Here you can see our revenue from last year with almost €4.1 billion. Mr. Dommermuth has already mentioned this figure. Cost of sales have increased in 2023 to €2.937 billion. That's a plus of 7.4%. This includes the startup costs and depreciation for the 1&1 mobile network. Last year, they were at €166.8 million after €40.9 million in 2022. Gross profit is - has therefore decreased from €1.229 billion to €1.159 billion, mainly due to the additional costs of the network expansion. We have also included the gross profit without this. These costs, where you can see that, has increased from €1.7 billion, which means a plus of 4.4%, so €1.27 billion to €1.325 billion. We've had higher marketing expenses, among other things for online marketing. We have administration costs amounting to €115.6 million, which has also slightly increased. This is due to expenses for the 1&1 mobile network, which are billed partially also under administration costs. Other operating income and expenses were at plus €31 million, slight decrease compared to 2022. The impairment losses on receivables and contract assets were at €105.4 million, also a slight decrease compared to 2022. This decrease is partially due to lower corrections to payables, amounting to €6 million to €7 million. On the other hand, we have higher corrections on assets due to a higher contract volume, because we are currently further building up billing according to IFRS. The profit was therefore at €455.8 million, compared to €534.9 in 2022. Tax expense, its financial result was also positive €9.1 million, compared to minus €3.4 million. Profit before taxes was at €465.9 million. Previously, it had been at €531.5 million. So here you can see the effects from the ramp-up costs of the mobile network. Tax expense follow the profit before taxes. They have decreased from €164.2 million to €149.9 million. Therefore, this brings us to a consolidated result of €315 million for the financial year 2023. I will continue with the balance sheet. Balance sheet has significantly increased from €7.257 billion to €7.740 billion. There are three different reasons. If you look at short-term assets, we have a decrease of roughly €70 million due to higher trade payables and higher inventories. Long-term assets have increased by roughly €420 million. Two reasons for that. On the one hand, our prepayments to Deutsche Telekom for the contingents from the VDSL contract. Last year, this was billed at €210 million in this balance sheet. And then also our investment in assets for the 1&1 mobile networks. They are also included in the long-term assets and have increased by roughly €200 million. Short-term liabilities have also increased compared to the previous year, roughly amounting to €60 million. Long-term liabilities are roughly at the same level as in the previous year. And due to the positive result, equity has increased by roughly €300 million. Now we'll continue with cash flow. Net inflow from operating activities were at €225.6 million. So we were above the €182.9 million from 2022. They include €488.8 million cash flow from operating activities. A negative effect from the change in trade receivables, so increase in trade receivables amounting to €88.3 million. What I would like to mention is roughly half of that are receivables that are no older than five days. And that have simply been billed after the date this balance sheet was created. So by the end of December 2023, they have contributed to this increase in receivables. Then we have changes in inventories amounting to minus €57.6 million. Here by the end of last year, Apple and Samsung, we have purchased more from Apple and Samsung therefore, and we have sold these assets by the end of by the beginning - at the beginning of this year, therefore this inventory has further decreased. Changes in receivables from and liabilities to related parties had an effect of €73.3 million. Negative effect of €249 million from change in accrued expenses. These are the prepayments to Deutsche Telekom from the contingent contract that I already mentioned. Other items from working capital have an effect of plus €58.4 million. Cash flow from investment activities was at €125.2 million compared to €95.1 million in 2022. It includes €295 million CapEx. This includes mostly the expansion of the mobile network. €155 million were gained from the investment of free cash with United Internet. We're taken out from that investment and we had interest received amounting to €15.7 million specifically from the cash investment at United Internet. Then we get to cash flow from financing activities that was at minus €101.8 million after minus €87.7 million in 2022. It includes €12.1 million payment in connection with leases, €8.8 million in dividend payments, €61.3 million repayment of liabilities from the 5G spectrum, €14.9 million other payments of an interest nature and €4.7 million interest payments from leases. This brings us to a free cash flow of minus €70.1 million by the end of the financial year. We're roughly at the same level as in 2022 where we were at minus €62.1 million. On this slide, you can see the bridge from the EBITDA to the free cash flow. We're starting at €653.8 million EBITDA. Then we have receivables and other assets amounting to minus €88.3 million. Furthermore, inventories amounting to minus €57.6, deferred expenses at minus €249, receivables and repayables from related parties with €73.3, other working capital with €30 million, then tax payments at minus €136.7 million and CapEx amounting to minus €295.6 million. This then brings us to the minus €70.1 million of free cash flow. Let's now continue with the outlook for the financial year of 2024. Service revenue, here we expect a revenue growth of 4% to roughly €3.37 billion after €3.24 billion in 2023. EBITDA is expected to grow by 10% to roughly €720 million after €653.8 million in 2023. Of these 10%, we want to gain roughly €880 million from the access segment, which would be a plus of 12%. And we expect a minus of €160 million startup costs from the mobile network segment. This would be an increase or let's say higher expenses or lower result of roughly €20 million compared to 2023. And then cash CapEx will be at roughly €380 million after €295.6 million in 2023. This is mainly driven also by the mobile network expansion. Maybe some remarks on the development of the contract customers. Customer contracts, we expect a growth in customer contracts on the same level as last year. Due to the migration into our own network, we will, however, lose some customers that are hard to quantify. We're expecting something of 200,000 to 300,000 contracts. So our net growth minus this effect of the customer migration will roughly be at 200,000 to 300,000 contracts in 2024. Thank you for your attention. And this now brings me to answering your questions. Thank you very much.
A - Unidentified Company Representative: Let's start on the left-hand side, Bank of America, Titus, and then Société Générale after that, please.
Titus Krahn: Thank you, first of all, for the presentation. And thank you for the opportunity to ask questions. First question, in regard to the 200,000 to 300,000 additional losses in contracts, could you elaborate on that a little bit further, maybe? Will these be high-quality contracts? And what effect will that have on the revenue? And what will be the reason for those connections to be switched off for us to lose these - for you to lose these contracts? Second question on white spots. Last week, in the last two weeks, the German press has reported on this issue. Also, in regard to the payments of the spectrum costs, could you please give a statement on that? What is your perspective on that? What should we think about this issue? Thank you.
Ralph Dommermuth: On your question on the contracts that will be lost within the context of the customer migration, it is difficult for us to estimate the size, the scope of this effect. But of course, we have contracts in our inventory that have a relatively low usage where we will have the situation that the customer decides to no longer use this contract within the context of this migration or we will no longer be able to reach the customer. This will mean there is a possibility of extraordinary contract terminations. We see a relatively low impact on our result and on our revenue because those are rather old and less valuable contracts. I've prepared something for you. I'm quite proud because I have a backup of this presentation. I said, well, if somebody asks, I have something to actually show them. Because we have, of course, read this article that you're referring to and it makes sense to shed a bit of light on this. First of all, 1&1 was not a participant in the 2018 Mobile Summit. Nevertheless, we committed to contributing the expansion of the network in white spots. And in return, we promised to invest the interest advantage that we've gotten from the deferral. We were at the time back then where we had rather low interest, 0.something percent interest rate. So you can see that this amount was not large, but it was a significant amount. This amount would have meant that we could have constructed roughly 400 antenna locations. But this 400, based on the assumption that we would have mainly rooftop locations, a rooftop location only costs a small percentage of mast size. You have antenna heights of 10 meters, sometimes higher, without needing a specific permit. A mast location is sometimes 40 meters, more than 40 meters high, consists of concrete and therefore needs more complex permits to build. Since we don't have any low band frequencies and because it is here about connecting white spots to the network, so about connecting rural areas to the network, it was said, well, you construct the location and then you provide it to Telekom, to Telefonica or to Vodafone. And then they will use this location. We simply construct the passive infrastructure. Therefore, we're booking these costs as interests. I think that's right, right? Mr. Huhn, is that correct?
Markus Huhn: Yes.
Ralph Dommermuth: The costs for these locations are part of our interest result because they are an equivalent to interests.
Titus Krahn: Why did it take longer than planned?
Ralph Dommermuth: Well, Telekom, Vodafone, Telefonica has almost exclusively chosen mast locations, only a handful of rooftop locations. Therefore, the price per location has become a lot more expensive and that has turned 400 locations into roughly 130 locations that you get at the same price. We have a fixed investment sum. We didn't look at locations, we looked at a set amount in euros and if one location becomes more expensive, then we can construct fewer locations. It has taken us until Q1 2021 for us to be clear on where these locations are to be built. And now all of these locations have specific requirements because if they didn't, the others would have already constructed them a long time ago and wouldn't have to save them for us, but that was the deal that we struck. Therefore, we have struggled with delays which are completely usual when you deal with these white spots. I have here copied a text from the Telekom because Telekom is usually trying to make it well known that we're lagging behind when it comes to these white spots. And it's a text from the end of 2023 that they've released within the scope of the Federal Network Agency consultation. You can read it on their website. And they wrote that in rural areas, the planning processes usually take at least four years already when under optimal conditions. And of course, we can make the impossible possible and we can't do it in four months if Telekom says they usually can only do it in four years. Therefore, these mast locations are very difficult to build.
Titus Krahn: Where are we at now?
Ralph Dommermuth: 130 locations will be able to be built with the investments that we have available. Of these locations, 48 have already been finished. That's a dark blue column that you can see on the slide. Further 50 are currently under construction and will be finished in the next upcoming months. For 32 locations, we're still waiting on the building permit. So, we have already - the plot is already available. We have already leased the plot. But the permit processes are highly complex and these processes are still ongoing for 32 locations. Once this is complete, the location can be realized or the construction can be realized within roughly six months. Therefore, we think that we're actually doing quite well when it comes to this expansion because 400 rooftop locations or almost 400 rooftop locations has turned into 130 mast locations and we need highly complex permits, procedures for that. There are also some environmental factors playing into that and all of these permits simply take a lot of time to be granted. Now, you asked what does that mean for us and I'd like to tell you it doesn't mean anything for us because all of this has already been put in contracts. In our contract, back in the day, we made sure that delays that we don't have any control over don't mean that we cannot fulfill the planned timing. All of this is reported to the responsible Ministry with an exact list of all locations with a status per location. There's complete transparency in this regard.
Unidentified Company Representative: Thank you very much for that question again. The slides had been prepared for that.
Unidentified Analyst: Thank you very much. Three short questions. On [Alcatel], there was press coverage that Rakuten is not a general entrepreneur anymore and that was a risk management issue. Could you elaborate on that? How did your relationship change in the meantime? Second question on the network structure. In the past, you often mentioned that the structure you have allows you to differentiate yourself from other providers in the market through your product mainly and I think that probably applies to the B2B segments. Within what time do you think you'll be able to convince first customers of this? There are two follow-up questions, of course, because the other network providers will move into the same direction and 1&1 has been delayed in their network expansion. So then the question is when this will turn into a profit for your business. And then third question. You had higher startup costs compared to the guidance for 2023 and lower CapEx on the other hand. Could you explain why this differs from your original forecast?
Ralph Dommermuth: Okay, let's start with Rakuten and our business relationship. It hasn't changed at all. Staff in our press, someone from our press office felt the need to edit a press release where it said that Rakuten is our general contractor and that something had changed and then some media outlet decided to put that into an article saying that Rakuten is not our general contractor any longer. And that's not true. There are no differences or changes in our contracts at all. Rakuten remains to be in charge, is in charge of building the network for passive infrastructure. We are responsible for high mast, for connections, for the provision of data centers. We are in charge. But orchestrating our partners and their working together, that's up to Rakuten. The individual services are always part of our ownership. That's why we have the CapEx and depreciations. But until the location is built and we are planning to put into operation data centers three and four and all that is up to Rakuten. They make sure that these data centers work and once they are in operation, they are ours. So we benefit from Rakuten's experience of the past years in the Open RAN area and only with that we were able to operate at such speed. Then you mentioned other mobile network providers who are moving in to the same direction. I have not actually seen that. I haven't seen other mobile network providers building data centers 10 kilometers away from their antennas. That's news to me. Yes, they are also doing Open RAN and that's definitely a future technology. I agree. But differentiation in real-time applications is not something I have seen in Germany so far. So I think we are at the forefront here, which does mean that you could also use applications at other data centers. I think Vodafone has four data centers in Germany currently. You probably know that better than I do. So where do we want to differentiate? That's definitely B2B or you said that's definitely B2B, but I disagree. We will differentiate when it comes to consumers because we will have DNS servers in the regional data centers or also because we'll have regional data centers where can cache content, contents that are opened regularly at the same location. We can cache them there so they don't have to travel through the Internet anymore. Then video on demand. There are providers that have a huge library, but the consumer will not open all of them at the same time. They will have some popular videos they use all the time. So we are thinking about opening these from the regional data centers. So these are just some of the ideas that we have. Then you asked about our timeline. I don't want to upsell here. Our network does have the opportunities, but an old colleague of mine always said that it's about standing, walking, and then running. So it's good that we're talking about these issues today because a few months ago we were discussing whether this could even work with hundreds of thousands of millions of customers. How could that work? Now we have 500,000 additional customers. We have the first existing customers using the system and we're happy that it's working. So for now I would make sure to put the data centers three and four into operation and then make sure the migration works. We want to increase to 50,000 customers per day. That's our maximum capacity. There is a company that will take care of the phone numbers, importing the phone numbers too. The maximum capacity for that is 50,000 per day, but that's quite an enormous amount because that's a million a month. So these are our current challenges. As I said, putting into operation the core data centers, making sure the migration processes work. It's not that easy because some customers have an eSIM card, others have a normal SIM card, then they have different smartphones. Others may have smartphones that are lacking the newest software update. So there are many issues making this very difficult. So this is our focus for now and then after that we'll take the next step. Let's come back to the last question. The expenses for the mobile network that were higher than expected last year. It's mainly expenses within the tests that we had to do that were higher. Device testing in particular. We may have underestimated that in the beginning, but we had a high approach to quality here. We wanted to identify all end devices in our customer base and test them and certify them. It's not possible for all legacy devices of course, but that was 6,000 to 7,000 end devices that we tested over the past month with our network in order to be sure that they would all be working and also to know what legacy systems wouldn't be working so that the customer can be informed. That was the main driver of the higher expenses in the last financial year. Let me elaborate on that and give you a sales pitch. If you have an old phone it doesn't mean you can't use our new network. We will give you a new configuration for your phone and then you can still use it. I think only 4% of the phones will not work. We can update 96% of all phones online and for the last 4%, that's a long tail, our call data center will need to help customers with manual configuration of the settings. If it doesn't work at all we'll provide a new phone to the customer. We're doing everything we can. Rakuten, when it came to the launch of the network, they didn't have an Apple certification. It took a long time for Rakuten to be able to use Apple phones in their network. We had our Apple certification from the first day. We had 6.5 thousand tests that are expected by Apple before you receive your certification. I don't want to give you any wrong numbers but I think DISH started with four phones and we are starting with our existing customer base, all old legacy phones that our customers have and we are confident that we can completely migrate them to our new system without losing any essential data and of course that caused high expenses in the last year.
Unidentified Company Representative: Next question will go to Polo Tang. But I had another question. We are asked whether for the fine by the Federal Network Agency that we are expecting we made any provisions and if so how high? Mr. Dommermuth said in the last quarter that we had provisions and that they will not impact our forecast. We didn't give any detailed number in the past. Yes, we do have a provision from 2023 and we think that it will be sufficient but please understand that we will not give you the exact amount here today.
Polo Tang: Yes, just have three questions. Can you give an update on the Vodafone national roaming agreement? So when can we expect a final agreement and are you on track to have it operational by October 2024? Second question is what is your expectation for when the BNetzA will come to a decision on the allocation of the 800 megahertz spectrum and what happens if you do not get 800 megahertz spectrum? Third question is on a recent appointment of Pascal Grieder, the former CEO of Salt has joined 1&1. Can you clarify what his role with the company will be? Thanks.
Ralph Dommermuth: Thank you very much for your questions. We do have a final agreement with Vodafone. We made an agreement last August and that's legally binding but we need investment for that contract. We need annexes because we are speaking of a thousand pages and more so we will need annexes for this contract and we are still working on that. And within that scope we also said - well we discussed this contract within a few days so we may have to make some amendments to this contract but generally speaking it's a legally binding contract and we could start on this basis but as always in life you can make a contract that has 20 pages or a contract that has a thousand pages that will provide more clarity for day-to-day business but it doesn't have any other conditions or terms and you'll also see that in the publication by Vodafone where they always say that they have a contract with us that will be valid from 2026 and cash effective. Then you asked whether we can start with Vodafone National Roaming in October. I think we can even start earlier but I can't give you an exact date. The contract assumes 1st of July, 1st of October at the latest and I can say that we are making good progress and we will then start step-by-step because Vodafone will have to provide the capacity within its network and we have a plan, a step-by-step plan on how to migrate the customers over 12 months. Then you asked about the Federal Network Agency and the decision about low band frequencies. I can't give you an answer to that. I can only tell you what I'm hearing and I'm hearing that there will be a decision in the summer but I don't know if that's true. That's just what we are hearing in the market. Then you asked what we are doing if we don't receive any low band frequencies and I'd say, I'd expect that we will receive them but of course there could be an auction and someone may have a better bid than we do. Then we will have to buy more roaming than we do today. Our network is working as operational today without low band frequencies so where we don't have coverage for our frequencies we will have to buy more roaming and when we are lacking frequencies we will have to replace them with roaming services. On the one hand that's expensive because roaming costs money. On the other hand we will save the money for purchasing frequencies so you could now do the math using your spreadsheet and try to calculate when it's cheaper to remain at roaming and when it's cheaper to switch to the broadband frequencies. If it's 100 million for example for roaming the frequencies will be less expensive and the other way around. We will have to evaluate or assess that if we do not receive frequencies but for now we would expect that we will receive them because it has to be free from discrimination. Then our late launch. The question is whether our late launch might lead to us not receiving any frequencies but there are rules and the law to cover for what happens when you do not fulfill your requirements. Then there is a fine for example if you park your car incorrectly then there is a clear punishment for that. The state can't just choose how to punish you and that's the same here. So we know what the fine would be and we expect that fine and that's the correct punishment for not fulfilling your - keeping your deadlines but the law doesn't proceed to not give you any frequencies as a punishment. Then you asked about Mr. Grieder. He is responsible for product management and new customers at 1&1. Our colleague who did that before is now working on our mobile network. In the Board there are Mr. Huhn and I and then we have Mr. [Haver] our Chief Operating Officer and over the last years I have been in charge of mobile network and Mr. Haver was doing product management and new customers and now we are at a point where the mobile network is working so we need good engineering, we need scaling and he's the best person to do that. So we decided to give marketing for new customers and product management to Mr. Grieder.
Ben Rickett: Hello, hi it's Ben Rickett from New Street. I had two questions please. Firstly on the number of sites so you're saying 3,000 passive sites at the end of this year. Can you say how many of those will be active sites and can you give us an idea of what proportion of your traffic you could then carry with those active sites? And then second question on CapEx, so you're saying €300 million of CapEx this year. Can you give us a sense for what the shape of the CapEx then looks beyond this year? So I think consensus is expecting another 20% increase in 2025 and then CapEx falls to around €250 million ultimately in 2030. Does that shape look sensible? Do those numbers look sensible? Thank you.
Markus Huhn: By the end of the year we want to have 3,000 passive locations and giving us as much enough infrastructure to have a thousand active sites. Our requirement by the Federal Network Agency from 2022 so our plan is to have these active this year. So a thousand locations as a minimum. 3,000 at the beginning we have the mast ready at the beginning of the funnel. And then a thousand at the end of the funnel with fiber optic installed and fully operational. But of course it would be better if we had more. Nevertheless that's what we are looking at right now. As far as traffic is concerned that's difficult to assess. If you have 12,600 to cover 50% of the households that's 50% of the traffic, let's say then a thousand would make up for one-twelfth of 50% so 4%. So, if we had migrated all of our customers already, and we had low band frequencies available, by the end of the year not all of our customers will be migrated, will have been migrated. The Federal Network Agency gave us two years for that 2024 and '25, and we'll need that time in order to migrate 12.5 million customers. Though we will have restrictions the mass will not be fully, at full capacity. And we will not have full band frequencies by then, because they will only be given out in January on the 1st of January 2026. So even if there's a decision this year, we won't have frequencies by the end of the year. And therefore, the traffic share will not be enormous. Our advantage from having our own network, is that we can migrate a customer and it starts with national roaming, because for minutes we will only pay the data used and that's an enormous sum for us. Currently we pay each minute, and we produce the speech and national roaming ourselves and then we only buy data for that in roaming. And speech doesn't need a much width of the broadband so, it will lead to enormous savings. Each customer that we migrate even if we have fewer mast locations and frequencies we will save money for each customer through national roaming, because we will save on the data. And we will also save, because we produce international roaming ourselves. Today, we are buying it from Telefonica or Vodafone within our MVNO contracts. In our own network we will buy international roaming ourselves. So, we will have much better conditions that we already negotiated. So the more a customer uses the phone, and uses it abroad we will save, even if they don't use our cells. So that was our calculation. We had the basic costs for the data center infrastructure that, we had to cover from savings that we make in international roaming and speech transfer. And operating the antennas need to be covered, by the production of each antenna. So that's our calculation. And now addressing your CapEx question in 2024, it's the same as last year mainly driven by investments in Core and through Rakuten and there will be one bigger payment next year, and it will be much lower next year. So for 2025 CapEx expectation, is to be lower than 2024. There are of course a number of sites that we need to build ourselves. And then, we may sell them. If that works out next year, we will have a lower CapEx total than in 2024. Adam?
Adam Fox-Rumley: I think Mr. Dommermuth made just a sense in part my first question, but I was hoping you could talk a little bit more about, the breakdown of the cost tailwinds you're going to see within that access segment going forward. Obviously you're guiding to 12% growth. If you can be a bit more specific about the scale of the benefits you're getting and also to the extent that can help us think about how that progresses into 2025 that would be useful along those lines. It would also be helpful if you can say anything about how D&A is going to evolve as more of the network comes online. And then on customers, I suppose as you make the trend you're going to be transferring the customer base over the course of this year and into next year as well. Presumably there will be that kind of headwind from activating - kind of nudging customers as you - into 2025 as well. So there's 200,000 to 300,000 customers that you're talking about in '24 to an extent that's going to carry over as well until you finish the migration. Is that the right way to think about it?
Ralph Dommermuth: Let's start with your last question or comment. By the end of migration we will have losses within the migration process that's planned for the end of 2025. So for 2024 and 2025 and we'll see in these years, how much it will be. Mr. Huhn talked about that earlier. We don't know the exact number yet. We did several tests with different customer groups, customer segments. We had higher and lower churns. We are optimizing our processes, but we just wanted to tell you about this. We have 12.5 million customers to migrate. So, we will have a few that are we call them sleepers who have always wanted to terminate their contract with us anyways, for example and that we will then basically wake up with the letters we sent to them. And we'll - have to take that into consideration. So we will do that in this and the next year and we'll be done by 2026. When it comes to the development of the results in the Access segment, I can say the following, its two things. We already communicated last year that, we focused on well high quality marketing to our existing customers. We didn't just want to chase new customers, but we tried to improve quality within our existing customer base. And we were very successful with that. We also tried to keep our customer base stable, and we try to optimize operations and technology and we made good progress last year. We had very successful projects last year, which led to an increase of 12% in the result for the Access segment. In 2025, we'd expect a lower increase, because not all the effects will be repeated, but we still expect an increase.
Unidentified Company Representative: Maybe a remark from Investor Relations. This forecast of 12% is currently compared to 75.8% of consensus. Why am I saying that? Because if we look at the share price this has decreased this morning by 6% and the feedback was given that we should explain to the capital market how our forecast stands compared to the consensus. The consensus does not believe us that we will achieve the 4% service increase. They're expecting it to be 3.1%. They don't believe that we will have a 12% increase in access. They estimate a 7.5%. So that's just the addition as an addition to many of the questions that we've received this morning.
Adam Fox-Rumley: Thank you. Just on the big picture and please don't get me wrong. Please understand this is a genuine question, and not as a confrontation. You would have had the choice, to continue the business the way you've done so for decades, with negotiations with network providers on purchasing on reselling, but you chose instead to migrate it into your own network operation. Now of course that has led to battles on many different fronts. Would you say that the situation the way it has developed in this project, since you've made that decision has maybe put the original decision into question, or would you say no this is simply how things go in this business, with these matters. And at the end of the day, we will reach the treasure trove at the end of the rainbow. So I'm just trying to gain a big picture. How do you assess this decision right now that you made to enter your own network operation?
Ralph Dommermuth: I don't think, we had the choice to continue business as usual. Yes, we could have become a second free net that gets more bonuses, and commissions than what they earn in profits. But the freedom we had from our MVNO situation in times, where there were four network operators has - that situation has changed, where there are only three network providers with the same share each. We wouldn't have had, to have that many proceedings with Telefonica. There was a rule in our contract that said, we discuss prices twice per year. And then we asked Telefonica well can we discuss can we negotiate prices, and Telefonica simply declined. We never ever spoke to Telefonica again, without lawyers being present after that, just to give you an idea of the choice and the freedom that we had at the time. And yes, we could have pushed through we could have powered through. Yes, the contract is, there is a contract still ongoing that we could have extended. So, we could have pushed through until the summer of '23, with ever more arbitration proceedings more expert opinions, more proceedings conciliation hearings legal processes, and so on and so forth. Yes, we could have pushed through with that that's true. And I don't want to say that this could not also be an option. I studied law for three semesters, so it could have been something for me. I could have benefited from practical expectations. Engel has already offered a job - to me actually. So, if I quit here I can go to Engel and so I can work for them, but that's not what I want to do. I'm an entrepreneur, I'm not a lawyer at the end of the day. And therefore if we wanted to grow a sustainable business, because this is now my 36th year that was not an option anymore. This option would have ended on June 30, '23. You mentioned the battles that this has led to, and I have a different perspective on this. I am saying that these battles have now ended. I don't have any legal proceedings ongoing anymore today. I have one more claim from Telefonica that was brought against us that, is still how old is it now five years old with a regional court in Dusseldorf, but that's an old thing that's an old claim. Other than that I don't need legal advice anymore in my day-to-day business nowhere in our business and that's a nice thing. Therefore I have actually ended, or all of these battles have actually ended. You're asking if we're questioning a regional decision. I don't know why we would. We had some struggles in the very beginning. We were relying too much on vantage powers. We believed in all these sides that should have been delivered and that didn't happen. The federal cartel office is still looking into that. That was stupid, but we are doing better now. Vantage has already fulfilled some of its delivery obligations last year, and they started quite well actually this year. At the same time American Tower is delivering to us. At the same time we're building our own sites and we have roughly 600, 700 leases that were started last year for our own rooftop locations. Mr. Huhn just said it. We will have thousands. We will build thousands of our own locations. We need that, because we cannot have all the 12,600 co-location or sites in co-location, but just like other network providers. We will sell these locations and we will then lease them back. And then in our balance sheet it will be like a co-location, because we don't own the site. Therefore there's not a big difference actually. The 800 frequencies, yes we didn't expect this discussion to take place, because when we went to the frequency auction in 2019, if you look at the document, it says that this was only a first step. And that in the second and the third step in 2026 and 2034, we can purchase further frequencies. In 2026, the low band frequencies will be launched. This is what this document says. That's the foundation of our business and that's why I do believe that we will not be discriminated, but of course I can't promise anything, but yes it's true we did not expect this part. We did not expect for us to fight for this. For the fact that, I mean there always used to be auctions and now this is switched to extensions and they're saying well instead of three or four we will only choose three. There's - a consultation of the Federal Network Agency, and you can see all statements of all stakeholders on their website. And now, we can guess there are 52 statements and 38 said something on the fourth network provider to receive low band frequencies or not. 35 said that the needs of the fourth provider, are to be considered. They're mainly municipal providers et cetera. Three stakeholders said one and one should not receive any frequencies, and you should extend by eight years instead of five years. I don't really want to make any bets, because I think you can think for yourself who made these three statements. Therefore the battle line is very clear, but for me that's sort of a last array. It's the last chance for us. It's the last opportunity for them, to slow us down pretty much, but as I just said I'm very optimistic. Therefore our original decision still stands. And then you said, you talked about the treasure trove. That's a nice image I like that. I will take that up, because - look at the EBITDA for example that we had in the Access segment. In the Access segment, we rarely have any depreciation. EBITDA is roughly the EBIT and this year, I don't want to give you any wrong figures. I think we're looking at 850 million 900 million something like that just at the top of my head. That's where we're aiming towards and I'm saying if we can get there we can get to 1 billion as well. And if we then also manage to really have a network that operates at the same price, as the price that we spend right now for external services, then you will actually see the profit. And then hopefully, in a couple of years' time we will all sit here and say it was a hard time yes, with a low dividend and with a high CapEx, but at the end of the day it was sustainable business growth. And then this treasure trove is actually there. So I think this was a very beautiful final remark, but of course if you still have any questions feel free to ask them. Usman Ghazi please.
Usman Ghazi: A couple of questions please. On the savings on voice costs that you mentioned from migrating customers, is there a big proportion of that benefiting the 2024 EBITDA guidance? I'm just trying to square the circle between what consensus expected before December and then your guidance came in, which was much higher than consensus. So, is that the main difference? And I'm talking about voice migrations from activating your core network, and then - save money on voice that way. The next question I had was the provisions for the fine that you mentioned are already in the 2023 numbers. So has that provision been taken through EBITDA? And my final question was a bit more of a strategic question. I mean like you said no other operator is building out such a decentralized architecture with far-edge locations. Now when I look at what's happening with AI, they're all talking about AI inference driving up the value of these edge locations. So the question was - is it possible for you to run - to architect the network in such a way that when you're building the network now for the edge you can also run AI inference workloads when that opportunity arrives? Thank you.
Ralph Dommermuth: Let me start with the last part of your question. Yes we take - for us it's evident that we want to have applications of all kinds - of all kinds in these data centers. We always want to have a certain backspace in our data centers to control the antennas, because we don't have any intelligence at the antennas. We don't have a gray box standing next to the antenna, or under the roof or in the basement to control the antennas. The controlling always happens from the closest data centers that's, why we're overcompensating in these data centers. And whatever fits into the next, or next rack is what we'll be able to use. So, I don't see any restrictions in terms of applications in these data centers. On your first question, to what extent savings, or optimizations from our own network already included in our guidance. Yes in 2024, first effects are included for example savings in the voice area, but in 2024 it's still a small figure. The amount will only grow in 2025, when we have a significant or when we have migrated already a significant number of customers. On your question regarding the fine, the fine has been indicated above the EBITDA, so it has a negative effect on EBITDA. So the provisions for this fine.
Usman Ghazi: On this fine or exclusion from the auction, these three statements include a counter argument that you surely know, which is that the Federal Network Agency, can include companies when they don't have the respective capabilities, or we can they cannot prove the respective capabilities. I don't know the exact phrasing, but that's kind of the direction of the arguments and all three argument that this is the case. They argue that this is the reason. They don't say that the reason is the slow expansion, but they try to take that slow expansion and argue that this goes to show that, you're not a serious network provider and therefore shouldn't get any frequencies. Can you please elaborate on that?
Ralph Dommermuth: I think that we have proven our capabilities as a network provider. Our network is a lot more complicated and complex. Well let's give you an example. I can just call I cannot just call who am I, and say I have an issue can you please solve it. Our network has a far higher complexity, and we have more value generation and other network providers. Therefore I think in terms of our capabilities, we - don't have to hide behind anyone. When it comes to modern capable networks, we have actually won legal battles that allow us, to say we're building the most modern network in Germany. But even if we weren't capable they'd have to initiate formal proceedings to prove that. If you as a network federal network agency wants to say this company is incompetent. I want to exclude them from the auction, then you have to initiate formal proceedings. You have to initiate hearings and make a resolution that stands from a legal viewpoint as well. You cannot simply make a statement on and put a letterhead on it, and then sell this as a fact. Such proceedings has never been initiated and the federal network agency has never expressed anything like that towards us. That doesn't mean that they don't think that maybe they write such a formal letter to me tomorrow. But I at least have never heard about it so far. What I think is quite nice though, is that our discussion is becoming weaker and weaker in terms of argumentation. If you look at the other company statements, which you've done you can read there that, we don't have any antennas, that we don't have a network, that we're not even willing to build that network, whatever. And you can basically cross all of that out. All of these are false statements. Therefore I'm quite optimistic.
Unidentified Analyst: Thank you. A lot of questions were already asked. Maybe two minor questions. First question. Frequency costs and savings compared to purchasing Roman. If we were to make your range smaller, maybe decreasing to 2.5 billion, what would it look like then? And then question concerning the broadband customers. In Q4, the decrease has stabilized and slowed down. I would be interested in knowing why this decrease has slowed down and the customers that are included in this broadband area, how many are actually also getting IPTV? How many customers do you have overall in the IPTV segment?
Ralph Dommermuth: I don't know IPTV from the top of my head. We'd have to look that up, but I can tell you it's less than half a million. But I don't know the exact figure. But we can definitely look that up for you. On broadband and the broadband development, what we're seeing in Q1 is a stable business. I of course cannot forecast it for the entire year, but as for Q1 it looks stable. Then you mentioned when does the frequency purchase pay off compared to national roaming? That always depends on the commitments that go along with frequency purchase. Therefore you can't just look at the mere amount, but you also have to look at whether we have new expansion commitments that come along with the frequency purchase. Therefore there is no fixed formula for that. That's why I wanted to give you a broad picture and tell you, well, it does make sense for us at an incredible price. It does make sense for us however at a reasonable price. But to find out the sweet spot depends on many different questions. For example, what expansion commitments will we take on when it comes to an extension? How long will that extension go for? The EU Commission says maximum three years. Federal Network Agency has talked about five years. Our three competitors are talking about eight years. So all of that needs to be evaluated. Therefore, I cannot give you an exact figure and tell you, this would be the right amount for us.
Unidentified Analyst: Thank you. Does there have to be an auction or can't you just say that we give all four telecom companies the frequency and therefore you have the opportunity to use the money for the bad infrastructure in Germany, the money that would flow into tax liabilities anyway?
Ralph Dommermuth: Well, we're not against an extension. We have made a couple of proposals. Let me start with the auction. The other three always have the argument, well, if we lose the 800 frequencies then there will be white spots. And you can see that also in our documents. We said that we're willing that in case we get the 800 frequencies, we will immediately exchange them for 700 or 900 frequencies. Our antennas don't care if they run at 700, 800 or 900 frequencies. That would mean we could mitigate this sort of drastic approach of an auction. So you can basically replace 800 by 700 or 900 frequencies. So you could kind of mitigate all of that drastic auction approach. I think that would be a constructive approach, and we have made that proposal. But we're also not against an extension. In France, there was an extension, for example, the so-called new deal for mobile. France used to have three providers. Then with Iliad Free there was four and then they split the frequencies by four. No issue there. We also said that we could even imagine for frequencies to be only extended to the three others, but they have the obligation that they lease the spectrum to us that we need. We're currently using frequencies of Telefonica. We're using twice 10 megahertz until the end of 2024. So until the end of 2024, Telefonica needs to lease these frequencies to us. So these are frequencies that Telefonica cannot use today, because we are using them. So they could say, well, we just extend that lease. We could do the same with other low-band frequencies, for example. We could say, well, we give the 800 frequencies to Telefonica, Telekom and Vodafone, but we ask them to lease the 700 or 900 frequencies to one to a certain extent. All of these are possible approaches. Everything that helps us to save money is, of course, always beneficial and always welcome.
Unidentified Company Representative: Thank you very much for the very interested questions. Thank you very much for your attention. As always, we are always available for further conversations. I would now like to hand over back over to the operator and after a short break we will have a hopefully very interesting meeting with our mother company, United Internet. Thank you very much and all the best.